Operator: Good day, ladies and gentlemen, and welcome to the QuickLogic Corporation Second Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. Your host for today’s conference will be Andy Pease, CEO; Ralph Marimon, CFO; and Brian Faith, VP of Worldwide Sales and Marketing. I would now like to hand the call over to Ralph Marimon.
Ralph Marimon – Chief Financial Officer: Thank you and good afternoon. Before we get started, let me take a moment to read our Safe Harbor statement. During this call, we will make statements that are forward-looking. These forward-looking statements involve risks and uncertainties, including but not limited to stated expectations relating to revenue from our new and mature products, statements pertaining to our design activity and our ability to convert new design opportunities into customer activity, market acceptance of our customer’s products, our expected results, and our financial expectations for revenue, gross margin, operating expenses, profitability and cash. QuickLogic’s future results could differ materially from the results described in these forward-looking statements. We refer you to the risk factors listed in our Annual Report on Form 10-K, quarterly reports on Form 10-Q and prior press releases for a description of these and other risk factors. QuickLogic assumes no obligation to update any such forward-looking statements. This conference call is open to all and is being webcast live. For the second quarter of 2012, total revenue was $4.1 million, which was just above the midpoint of our guidance of $4 million. New product revenues totaled $1.7 million, which was up 5% from the Q1 level. Mature product revenue in the quarter totaled $2.4 million, which represents a 6% sequential decrease from Q1, but was slightly above the midpoint of our guidance. Our non-GAAP gross profit margin for Q2 was 51% and was above the midpoint of our guidance. The higher than forecasted margin is due to lower inventory reserves and a benefit from selling previously reserved inventory. Non-GAAP operating expenses for Q2 totaled $4.8 million, which was just below the midpoint of our guidance. As we have previously discussed, the decline in spending is primarily due to lower engineering expenses for two new platform developments as these platforms are now being introduced to the market. On a non-GAAP basis, the total for other income and expenses and taxes was $82,000. This resulted in a non-GAAP loss of $2.8 million or $0.07 per share. We ended the quarter with approximately $26.9 million in cash. During the quarter, we’ve raised approximately $11.9 million in an equity offering, which was partially offset by cash usage of $2.3 million. This usage was consistent with our guidance. Our Q2 GAAP net loss was $3.2 million or $0.08 per share. Our GAAP results include stock-based compensation charges of $434,000. Please see today’s press release for a detailed reconciliation of our GAAP to non-GAAP results. Now, I’ll turn it over to Andy who will update you on the status of our strategic efforts. Following this, I’ll rejoin the call to present our Q3 guidance.
Andy Pease – Chief Executive Officer: Thank you for joining us this afternoon. As Ralph mentioned, our new product revenue was aligned with our expectations. As forecasted, we saw an increase in the broadband data card demand, the ramp of the Kyocera URBANO PROGRESSO smartphone, and shipments to support Micron’s PoP Video pico projector during the second quarter. These proved to be effective offsets to the production shipments of the Pantech Vega 5 and Kyocera DIGNO smartphones that were completed in Q1. The URBANO PROGRESSO uses our ArcticLink II VX CSSP, the same silicon platform that Kyocera is using in its DIGNO smartphone. In addition to using the same display bridge as the big no, the URBANO PROGRESSO utilizes our visual enhancement engine or VEE and display power optimizer or DPO technologies, making it the first smartphone available in the Japanese market to incorporate VEE and DPO. During the second quarter we shipped our ArcticLink II VX CSSP to Micron to support their PoP video pico projector. We continued to forecast shipments for this project during the third quarter. In addition we have secured an architectural design win and a second OEM pico projector. Based on forecast we believe we will initiate production shipments for this OEM architectural design win in Q4. On top of that a pico projector light engine company is including one of our VX based CSSPs in their new reference design. They expect to begin customer demonstrations during the third quarter. In our last conference call I stated that we initiated sampling of ArcticLink III VX during Q1 and expected to have all 13 variance of this new CSSP platform qualified and available to ship and production volume during Q3. I’m very pleased to report that we’ve received our first production life on July 23. To-date the silicon has passed all functional verification and necessary qualification tests keeping us on our previously communicated schedule. With 13 different versions of our ArcticLink III VX we’re able to support all of the display interface standards that are common in the smartphone and tablet markets we’re addressing. Included is a dual display path VX6 version that simultaneously supports the native display and embedded pico projector light engine. With our ArcticLink III VX engineering samples, we have initiated evaluation and design activity with a number of Tier 1 and Tier 2 smartphone and tablet companies around the world. We believe several of these engagements will lead to initial production shipments in Q4 of 2012. With the enhanced functionality of our ArcticLink III VX platform family we’ve been able to open discussions with potential new silicon partners that we hope will result in new reference designs and OEM opportunities. During our last conference call I stated that we secured a new handset design using a smart connectivity CSSP that would move into production during the second half of 2012. We have received the initial production order for this design and should begin shipping towards the end of Q3. We hope to provide more details on this design when the customer introduces this new handset to the market early in Q4. During the second quarter we secured another new smart connectivity handset design. We expect to initiate production shipments to support this design in early Q1 of 2013. Last quarter I described our new aligned reference platform for Texas Instruments Sitara ARM processor. This platform allows Sitara customers to design systems with secure and non-secure peripherals beyond or can be natively supported by the processor. End product examples include barcode scanners, GPS-enabled products, and thermal imaging printers. As a follow on to Orion, we announced a new CSSP and reference platform called the BeagleBone Camera Cape for TI’s Sitara AM335X ARM Cortex processor. This VSSP allows OEMs to integrate a non-USB image sensor, which saves the Sitara’s processors, precious USB resources, and lower system power consumption by up to 150 milliwatts. You can read more about this platform in the press releases we issued last week. Beyond the benefits that come with being a member of TI’s ecosystem, the new Camera Cape reference platform allows us to expand our CSSPs into the realm of catalog solutions. Addressing markets were product lifecycles are usually much longer than the high volume vertical markets like smartphones and tablets. Our strategy for highly fragmented markets has been to co-operate with leading application supplier, processor suppliers to develop reference platforms that include pre-program CSSPs. This allows the end customer to view our CSSP as a standard part and order it as a catalog item. With this catalog strategy, we can make an initial investment in the reference platform and avoid the operating expenses that are normally associated with each unique CSSP design win, better leverage, better profit margin. Going forward, we are working on additional Sitara processor-based reference designs that we will talk about in future conference calls. In our prior conference call, I confirm we began sampling ArcticLink II CX in February. We are on schedule to receive our first CX production devices later this quarter. The CX is the basis for our security initiative with CertiVox. CertiVox has an impressive established customer base and is currently winning new customers with its friction of software solutions which should result in a significant increase in security for the internet. The success in our software-based solutions is helping create interest with customers that require a level of security assurance that can only be obtained with a dedicated hardware solution, namely commercial banking and certain applications that require citizens to connect with government resources. These markets are driving our joint project with CertiVox. Together, we are refining our understanding of the leading customer’s needs in these market segments. This process will continue with more customer engagements throughout the next several quarters and will determine our schedule for prototyping, deployment, and production. We see this as a significant potential market and anticipate first production revenue at the end of 2013. Let me take a few moments to recap what I view as the important takeaway from this conference call. With our two ArcticLink VX solution platform families, we can address the majority of mobile display and pico projection interface requirements. Based on customer forecast, we believe will initiate production shipment on our second pico projector design win and several ArcticLink III VX design wins in Q4 of 2012. We have secured two new smart connectivity design wins in the handset market. We expect to initiate production shipments on the first win late this quarter and the second in Q1 of 2013. We have launched our catalog CSSP strategy as a member of the TI Sitara ecosystem with our Camera Cape reference platform. We have ongoing projects to develop new reference platforms and expand this strategy. With the release of our ArcticLink II CX solution platform, we have substantially enhanced our capabilities in smart connectivity and security. We are excited about our close association with CertiVox and look forward to providing you with some specifics about our activities there in future conference calls. I will now turn it back over to Ralph and look forward to your questions following our Q3 guidance.
Ralph Marimon – Vice President of Finance and Chief Financial Officer: For the third quarter of 2012, we are forecasting new product revenue will be approximately $1.7 million plus or minus 10%. We anticipate increases in smartphones, secured data cards, pico projector, and shipments to our mobile enterprise customers will be offset by a decline in broadband data card shipments. We are anticipating modest bookings for the aerospace test and instrumentation sectors and are estimating our mature product revenue will be approximately $2.3 million. With this, we are forecasting total revenue will be approximately $4 million plus or minus 10%. As in prior quarters, our actual results may very significantly due to schedule variations from our customers, which are beyond our control. Schedule changes, particularly those that may impact new product revenue could push or pull shipments between Q3 and Q4 and impact our actual results significantly. On a non-GAAP basis, we expect gross margin to be approximately 45% plus or minus 3%. The gross margin reflects lower production levels, which affects our manufacturing efficiency in a larger percentage of our total revenue being driven by new versus mature products. We are currently forecasting non-GAAP operating expenses to be $4.3 million plus or minus 300,000. Non-GAAP R&D expenses are forecasted to be approximately $1.9 million. The decline in engineering expenses is primarily due to a decline in third-party engineering expenses associated with new platform development costs. Our Q3 non-GAAP SG&A expenses are forecasted to be approximately $2.4 million. Other income and expense will be a charge of up to $60,000. Our stock-based compensation expense during the third quarter is expected to increase to approximately $800,000. This increase was due to the timing of our annual employee stock option refresh grants and the fact that we are moving to a stock-based compensation program that uses a combination of options and RSUs. At the midpoint of our guidance, our non-GAAP loss is expected to be approximately $0.06 per share. We expect to use approximately $2 million in cash. This concludes our prepared remarks. And now, we’d like to open the call for questions.
Operator: (Operator Instructions) The first question comes from Krishna Shankar from Roth Capital.
Krishna Shankar – Roth Capital: Just on completing the design of the VX3 and having all those 13 variations, can you talk about the design win momentum now that you have all the variations out there and also how the new Kyocera phone is doing in the marketplace in terms of production ramp and interest?
Andy Pease: Yeah. So, like I said in the prepared remarks, we have a lot of activity with Q1, Tier 1 and Tier 2 customers throughout the world and we fully expect that several of these will go into production. We don’t have enough definition that we can share publicly at for a lot of reasons, but we are confident that we will move in that direction. Regarding Kyocera, the phone has been out now for seven weeks and it’s doing quite well in the Japan market looking at light period data is doing a little bit better than the DIGNO was may consider that to be a very successful launch.
Krishna Shankar – Roth Capital: And given this design win and engagements of several customers, and I guess, you mentioned that the smart connectivity customer ramp-up late in Q3 and then Q4, could new products revenues increase – have a meaningful increase going into Q4, can you talk about sort of what the outlook would be for Q4 even though I realize it’s early?
Andy Pease: Yeah, we think that we expect that we should see an increase in new product revenue, we are not prepared to say have much yet, but this is what have frankly been pointing to all year long with the introduction of VX. We are very encouraged by the reception we are seeing in the market. It will probably take a little bit of this year to get a definition of what that actually looks like, but we are confident that this will get us off the somewhat flat new product revenue that we have had all year long.
Krishna Shankar – Roth Capital: And then can you elaborate a little more on the two smart connectivity design wins you have what exactly is application and the nature of those two phone designs?
Andy Pease: Krishna I would love to but unfortunately I can’t elaborate more because it would get me trouble with the customer. As soon as the customer does announce we have been told we will be able to do a joint press announcement, but not until they release their product.
Krishna Shankar – Roth Capital: Okay great. Thank you and all the best.
Andy Pease: Thank you.
Ralph Marimon: Thank you.
Operator: Your next question comes from Quinn Bolton from Needham & Company.
Quinn Bolton – Needham & Company: Hi guys I wanted to follow-up on Krishna’s question about the traction you’re getting on the ArcticLink III VX, it sounds like you got a number of engagements that are in place with initially I’m scheduled for the fourth quarter. I would think at this point in sort of late July early August that most of those phones going into volume production in the fourth quarter have probably commenced engineering validation test if not device validation tests. So, I would think that sort of hardware is locked down, can you confirm whether you have solid design wins. And obviously understand that you can’t give a lot more color. But do you have those designs wins and Andrew is there still really at the engagement level and you’re still sort of doing design work?
Andy Pease: So, Quinn our methodology is when we say a design win that’s when we have a firm productions schedule in mind and a forecast. And I would determine some of these as architectural wins. But I wouldn’t call them design wins. We try and be cautious about what’s the design win because in this mobile market things just change too fast.
Quinn Bolton – Needham & Company: I guess from sort of an – it sounds like then there are sort of architectural wins but not necessarily hard design where I guess what I’m trying to get a sense of checks and if its an architectural win does it typically take longer than say three months to kind of go from that architectural win to volume production that seems like a pretty short production cycle or from design to volume ramp?
Andy Pease: Well, first some of the market segments that we’re working in the design cycle is shorter than you may think. The ones that our longer that you may think so these are in the evaluation mode. I don’t know Brian do you want to expand on that a little bit?
Brian Faith: Can you hear me. Okay?
Quinn Bolton – Needham & Company: Yeah, okay Brian.
Brian Faith: Okay. So, I think the way I look at this is that from the availability of our ArcticLink III VX, there is a timing that has to go on with that customer having the slide available in their engineering to actually look at the devices from both the bridge point of view and from the visual point of view. And right now, we are at that stage where several of these customers now have silicon in hand. And it’s very – if there is a bridge involved and you can say that there is a good chances in architectural design win. If there is no bridge involved and it’s just a visual cell, they were going through the motions of the V calibration and working with their product management teams to see how much value the house for them. So, it varies on what the need of the customer is, but I think rest assured, there are several guys that have it in system on a board right now and are working through that process during this quarter. As Andy said by the next call, I’m sure we’re going to have a lot better picture what Q4 is going to shake out with.
Quinn Bolton – Needham & Company: Okay. So, it sounds like they’re doing their evaluation work and especially in the case of a bridge functionality they’ve sort of specified they need NRGB to LEDs or whatever the bridge function now it might so they’ve got that specked into the design and they’re going through their evaluation on what specific bridge to you at this point?
Andy Pease: The bridge definition is very clear cut from the beginning of the architecture, it’s the impact that VEE and DPO have to take frankly quite a bit longer process because we have to go through the calibration with them and then some integration into their software build. So, from the bridge point of view it’s pretty clear from the VEE standpoint that’s one the tech go a little bit longer to look out these guys.
Quinn Bolton – Needham & Company: Okay. Given that comment is it fair to assume and perhaps some of the initial the X3 designs that rollout are you going to be more bridge functions with the full say bridge plus visuals rolling out perhaps either later in the fourth quarter or more kind of end of the first half of 2013.
Andy Pease: Actually, it’s a mix, so we’ve been selling the VEE and DPO for a couple of years now. So some customers if they really like VEE and they’ve been waiting for this new family, so I think we could see some production with those guys before we actually see the bridge because they have been looking at the technology for long enough. For guys that have been waiting for a bridge as you know we had to wait for this new family come out and sort addressing some of these new bridge requirements related to MIPI. So, those guys have just now got silicon and going to that process. So, you may see VEE only type solution to production before you actually see a bridge. Let’s just say we have variance a lot of that in customer hands right now.
Quinn Bolton – Needham & Company: Great and thanks Brian. Second question Andy just on sort of similar to Krish’s question on the new URBANO PROGRESSO phone. Can you talk about sort of how you’re seeing it for PoP video that that certainly seem to be a pico projector design win when your pretty excited about last quarter. I mean talked about demand continuing into third quarter I know these are maybe fairly short life products and so kind of wondering how long do you see the demand for this pico projector last seen and can you talk potentially if there might be sort of a second generation version behind it takes that demand is pretty strong?
Andy Pease: Yeah, Quinn I would love to give you more color on Micron, but right now they’ve asked me to be pretty tight lip about it. So, they certainly have going out with a viral approach. And we know that they have done substantial improvements on their first out software. There are some little problems that they have with the market that they have just recently solved with the recent software build and they really would prefer that I don’t talk much more been that about it.
Quinn Bolton – Needham & Company: Understood, the question – quick for Ralph you had mentioned that for the gross margin improvement was the sale previously written down inventory is that a figure you can quantify for us. It looks like that product goes away in the third quarter guide just given step down in the gross margin?
Ralph Marimon: Yeah. I want quantify for you, but you can assume its more of a one-time because of the size in the second quarter, it’s more of a one-time event. We do so inventory that we had reserve previously but not at that level.
Quinn Bolton – Needham & Company: Okay. It is the third quarter you guys just sort of have seen some more between 100,000 to 300,000 of inventory reserves over the past few quarters. I think June was towards that lower end of that range. Does the third quarter September guidance include perhaps a bit of step up in those inventory reserves that you think it’s roughly flattish at June quarter levels?
Andy Pease: We never broken it out but our inventory reserves we’re never planning for obviously big inventory reserves our goal is obviously use all the inventory we have we’ve never broken it out. So, usually in any given quarter there is a small amount that goes through, so you can make the assumption that we have a more normal amount going through in the third quarter.
Quinn Bolton – Needham & Company: Great. Okay, thank you.
Operator: (Operator Instructions) The next question comes from Brian Coleman for Hawk Hill Asset Management.
Brian Coleman – Hawk Hill Asset Management: Great, thanks. My first question, I want to do is quickly follow-up on Brian's comment with respect to the timing of these AL III designs and I understand correctly, you could see some of the display bridge designs before VEE and I'm just curious if you’ve got people designing the display bridge without VEE and I’m curious about that understanding is correct?
Brian Faith: Yeah. There are some people that want to first get it on the board because it turns out off our display interface function it’s a lower power than existing display function. So, we have that going on for us and that is a very quick design. And one thing I might add is there a lot of different bridging requirements even in smartphones. For instance there is a real need for MIPI-2 to MIPI-4 bridge something that really was not obvious to us what was a year ago. So, there is certainly a lot of opportunity for bridge that enables us to sell up with the VEE and DPO.
Brian Coleman – Hawk Hill Asset Management: Okay. And then of the 13 flavors of the AL III VX that you currently got in the market, are you seeing design activity or how are you on a qualified interest across of the entire platform or is there a certain used case that’s getting more interest on others?
Brian Faith: Yeah. I would say, that certainly in the tablet market we are seeing obviously high interest with the LVDSO. With the smartphone market, we see a very high interest with not only MIPI pass-through, but this MIPI bridge, so I just explained in MIPI-2 to MIPI-4. But we do see interest across the board, yes.
Brian Coleman – Hawk Hill Asset Management: Okay. And the MIPI, MIPI the pass-through configuration that, it would seem to me that market acceptance and market traction there would kind to be critical mass and the idea that VEE was going to become a checkbox item for manufacturer. Is that a good way of looking at that? And are you seeing traction on that kind of design configuration that gives you some encouragement along that line?
Andy Pease: I think what I feel comfortable saying is to echo what Brian said and that is that we’ve had a lot of customers that have been waiting for this particular chip, so that they can integrate VEE and DPO into their system. So, the people that were showed interest with us about a year and half ago are still – were still very active with, and we now offer them silicon that can integrate into their system. I think that’s a fair thing to say.
Brian Coleman – Hawk Hill Asset Management: Okay. The second OEM, pico projector that you expect to ship in Q4, is that an AL III or AL II chip?
Andy Pease: That is definitely an AL II. All of the standalone pico projector opportunities that we are seeing today have a – are actually the processor is outputting RGB, and of course, the light engine requires RGB. So, that would be ArcticLink II, because we don’t have that flavor for ArcticLink III.
Brian Coleman – Hawk Hill Asset Management: Okay. And are you seeing – my first question was about the 13 flavors of AL III and the design interest based on your answer, should we then expect to see some AL III embedded pico projector phones perhaps in 2013?
Andy Pease: I would say that I would not expect to see that in 2013, sure.
Brian Coleman – Hawk Hill Asset Management: Yeah.
Andy Pease: I think that, that’s very, very possible. Right now, our immediate opportunities are probably all the flavors other than VX6, although we do have the VX6 opportunities. Most of our pico projection engagement currently is more of the standalone flavor as obviously people are looking at is putting it into a smartphone a viable option or cost effective option?
Brian Coleman – Hawk Hill Asset Management: Okay. (Terry), I think it was in the last couple of weeks, QUALCOMM seemed to more or less will draw support for its MIRACL technology. Does that have any impact one way or the other on your view of the market?
Andy Pease: Not, really. No, not really.
Brian Coleman – Hawk Hill Asset Management: Okay. Also during the quarter, you guys….
Andy Pease: Brian, the reason I say that is MIRACL was so far out that it did certainly didn’t impact anything that we are currently working on. So, I don’t see any impact at all.
Brian Coleman – Hawk Hill Asset Management: I mean, it does seem to consolidate the market on LCD and OLED, which you clearly do support?
Andy Pease: Okay, yeah.
Brian Coleman – Hawk Hill Asset Management: Okay. And then can you provide a little bit of color around the secondary offering you did during the quarter, if I backed out the $11.9 million that you raised on that offering, you have would have ended the quarter with about $15 million of cash just if the burn rate is starting to go down. So, can you just give a little bit of color on your logic for raising some new money during the quarter?
Andy Pease: Well, I think our logic was really simple. The concern that we have as a public company is making sure we’re never – we never look risky to suppliers, customers, competitors, whoever is out there. So, we’ve always said we’ll be very opportunistic about raising money when we thought we needed it. If we were in a similar situation as we were – like we are in 2009, where the mature business had come down, and as you know that supplies the good chunk of our cash flow. So, the mature has come down and leveled off. The timing just seems right. We didn’t raise a lot. There wasn’t huge dilution out there that we got the balance sheet insurance we needed and also gave us some more flexibility, because one of the big things we are always looking for is the partnerships and potential to purchase fee out there and we want to make sure we have that flexibility on our balance sheet, could be able to go out and pursue those opportunities.
Brian Coleman – Hawk Hill Asset Management: Okay. I think that, that’s about all I have right now. Thanks very much.
Andy Pease: Thank you, Brian.
Operator: The next question comes from Bob West from NI Technical Research.
Andy Pease: Hey Bob.
Operator: Bob West, your line is open please check your mute button. If you are using the speaker phone, please lift the handset.
Bob West – NI Technical Research: Hi, do you hear me now?
Andy Pease: Yes, yes hi Bob.
Bob West – NI Technical Research: Okay thanks, thanks Andy for taking the call, and congratulations on a very encouraging review of your new product initiatives. I had a follow--up question on the pico projectors I want to begin with there. And that is in the future what kind of future do you see a roadmap for RGB-to-RGB and then the AL III versions sold for higher resolution, so requirement for either a standalone or for embedded pico projectors going forward?
Andy Pease: Yeah Bob. So doing RGB-to-RGB and ArcticLink III we did not architect the chip to do that because of the huge number of pins that would be required to do that on both ends. We really see the more likely scenario from what we’re being told that a video output from processors we’ll see more of MIPI to RGB which ArcticLink III already does. So, while the light engine may stay at an RGB input the outputs for some of the new processors that will go into future even standalone pico projectors will probably gear away from RGB and that will enable us to intercept the right resolution.
Bob West – NI Technical Research: What’s there interesting what’s existing AL III VX, good. Okay.
Andy Pease: That’s right that would actually be just VX5 of the ArcticLink III family, right.
Bob West – NI Technical Research: Okay thank you for that clarified insight and clarification. Recently you put out a press release on both Dragonboard references on for Qualcomm’s Snapdragon-based Tablet and were out there recent Uplink conference, so what can you tell us about that conference and the response there from perspective customers?
Brian Faith: Hi Bob, this is Brian I’ll take that question. So, with that the Uplink conference and Qualcomm was demonstrating that data card that we developed for Dragonboard and their Snapdragon experience on. When I was there obviously I got good reviews for the visual enhancement side. We are also demonstrating the bridge capability. I think one thing to notice that the push on the Dragonboard is really to go after at adjacent mobile enterprise type markets for Qualcomm its not really they’re push into smartphones and consumer like tablets. So, we’re actually pretty excited about that push with them because I think it aligns well with the type of thing that we’re doing with TI. Doing these references and to go after that mobile enterprise market. So, that’s our hope in that and there seem to be quite a bit of interest and we’re going to continue to work with Qualcomm in that area.
Bob West – NI Technical Research: Okay, well. Thank you for that insight. I’ve covered similar tablet question, last quarter I asked about the Notion Ink, the Indian company and they’re very innovative atom to tablet and response was that I believe was that you rolled out and working with them but they’re waiting on the AL III VX, can you give us an update on this project?
Andy Pease: Yeah I think the update is that is now a confirmed architectural win. I didn’t include this in the prepared comments because its not part of our forecast its not we don’t have a production schedule for them, but this is laid out on their board. They continue to be very excited about it as you have read already from their CEO who publicly stated that.
Bob West – NI Technical Research: Okay, well thanks for that. I want to turn to another question the dual-SIM inter-processor communication, PSB that you recently put out press release on. I was going to ask in the PCB form, excuse me, the proven system platform, does that work on all your connectivity platforms your ArcticLink, your PolarPro, PolarPro II and CX?
Brian Faith: So, the inter-processor communication, I think the solution bridge that we put out was basically a high level description of different ways that we can connect processors that don’t communicate with each other on the smartphones. And I think you are probably starting to see more press about this particularly in China, where they have this dual-SIM, dual-modem approach. So, there is different variance of solutions that we can develop for that from very low end bit rates, low bit rate to higher end high bit rate applications. The platforms that we would use for those are ones that support the connectivity from us today that are non-VX base. So, previous families like Eclipse II, and PolarPro and PolarPro II can all play into that. In fact, ArcticLink I could in some used cases.
Bob West – NI Technical Research: Okay. So, that answers the question, I guess, it doesn’t work with all in conjunction with the VX family, but it’s with the connectivity family, it will work across those platforms?
Andy Pease: Yes, that’s correct. It will across all those connectivity platforms. Basically, any platform of ours that is non-V related and has fabric is the candidate for this type of architecture.
Bob West – NI Technical Research: Okay. How would you characterize your competitive advantage and the dual-SIM offering area, this look like you might have a pretty attractive from a competitive standpoint offering there?
Andy Pease: I think this is something that we are just getting into right now, Bob. So, it’s hard to quantify that for you. I’d say that there are a lot of different architectures that these phone guys are deploying with this dual-SIM approach. It’s definitely not mainstream, so there aren’t a lot of ASSPs that actually do this type of functionality. So, I think just the fact that we have the flexibility with our fabric and can customize these pretty quick to market, it gives us an advantage, but it’s hard to quantify that at this point, because we are just in the beginning phases of this.
Bob West – NI Technical Research: Okay. Well, thank you for that. I know that you can see more and more press releases dealing with what these dual – what these dual connectivity handsets and I thought may wonder if this could be a robust market for QuickLogic?
Brian Faith: What we are trying to do is to do more of the smart connectivity type solutions and marketing out there. And I’m sure that you can appreciate that some of the marketing that we do, do for these doesn’t necessary have immediate revenue impact as you guys are going to ask us about in the call. A lot of these are to get these ideas out to customers, so that we can start having these architecture conversations. So, we are thinking that there is something there with this inter-processor communication. And I think in future calls we can advice on progress in that area.
Bob West – NI Technical Research: Okay. Turning to same subject area generally, but to the CX platform, are you seeing and are actively working in potential CX reference designs for the smartphone marketplace, obviously, completely different than the CertiVox?
Andy Pease: Right. The CX is as we described in previous conference calls is a pretty complex chip and it’s probably a little too complex to go in as a companion device in the smartphone. So, we don’t necessarily see that although, there are some things that we are exploring that we are not prepared to talk about yet, but the main thrust of CX now is really in security sensor – is dedicated security blocks in it. And like I said in previous calls, it’s perfect silicon platform to implement a hardware version of the CertiVox software.
Bob West – NI Technical Research: Right. So, that leads me to the Sitara ecosystem in your catalog strategy, will there be a role for the CX and some future requirements in the potential opportunities in the Sitara ecosystem?
Brian Faith: Bob, that’s something we are looking at right now and talking with TI about trying to find the right, used case on application for that. Hopefully, there is, but there is nothing concrete we can say at this time.
Bob West – NI Technical Research: Okay. Well, I guess what I’ve been indirectly trying to explore is setting CertiVox aside, one might we expect to see some CX product revenue and could it be sooner than the end of (indiscernible)?
Andy Pease: I don’t think I’m prepared to talk about CX revenue just yet. Like I said, the production samples or production units are just coming out of that towards the end of this quarter. So, I would – we’ll report on that as it comes along.
Bob West – NI Technical Research: Okay. Well, listen, I think I’ll close out with that, but thanks very much and congratulations on getting the VX out and CX production ready product out very much on your schedule so.
Andy Pease: Okay.
Bob West – NI Technical Research: Congratulations on that, best wishes.
Andy Pease: Thank you.
Brian Faith: Thank you.
Operator: The next question comes from Quinn Bolton from Needham & Company.
Quinn Bolton – Needham & Company: Ralph just wanted to ask a quick follow-up modeling question with the offering in the second quarter my guess is you only have a partial effect of the share count. Can you give us a sense where you see the share count settling out for the third quarter?
Ralph Marimon: It’s probably in the range on a basic level assuming as our forecast we have a lot. It’s in the range of 44.5 million shares, fully dilutive it’s probably not higher than 47 million, but I think for your model it’s about 44.5 million.
Quinn Bolton – Needham & Company: Perfect. Thank you.
Andy Pease: Okay.
Operator: I show no further questions. I would now like to turn the call back over to Andy Pease for any closing remarks.
Andy Pease – Chief Executive Officer: Well, I want to thank everybody that attended the call and thank you for your continued interest and support. Our Q3, 2012 earnings conference call is scheduled for October 30, 2012 and we’ll look forward to talking to you then. Bye.
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may all disconnect. Have a good day.